Operator: Good morning and welcome to the Vornado Realty Trust Fourth Quarter 2015 Earnings Call. My name is Cynthia and I'll be your operator for today' call. This call is being recorded for replay purposes. All lines are in a listen-only mode. Our speakers will address your questions at the end of the presentation during the question-and-answer session. [Operator Instructions] I will now turn the call over to Ms. Cathy Creswell, Director of Investor Relations. Please go ahead.
Cathy Creswell: Thank you. Welcome to Vornado Realty Trust's fourth quarter earnings call. Yesterday afternoon, we issued our fourth quarter earnings release and filed our annual report on Form 10-K with the Securities and Exchange Commission. These documents as well as our supplemental financial information package are available on our Web site, www.vno.com under the Investor Relations section. In these documents and during today's call we will discuss certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release Form 10-K and financial supplement. Please be aware that statements made during this call may be deemed forward-looking statements and actual results may differ materially from these statements due to a variety of risks, uncertainties and other factors. Please refer to our filings with the Securities and Exchange Commission for more information regarding these risks and uncertainties. The call may include time sensitive information that maybe accurate only as of today's date. The Company does not undertake a duty to update any forward-looking statements. On the call today from management for our opening comments are Steven Roth, Chairman of the Board and Chief Executive Officer; David Greenbaum, President of the New York Division; Mitchell Schear, President of the Washington, D.C. Division and Steven Theriot, Chief Financial Officer. Also in the room are Michael Franco, Executive Vice President and Chief Investment Officer; and Joseph Macnow, Executive Vice President and Chief Administrative Officer. I will now turn the call over to Steven Roth.
Steven Roth: Thank you, Cathy. Good morning, everyone. Welcome to Vornado's fourth quarter call. I am eager to chat with you this morning about Vornado's performance and about the markets and the world in general. Our prepared remarks have been long, but be assured we will leave plenty of time for Q&A. Yesterday we reported very strong financial results for the fourth quarter and the full year. Our fourth quarter comparable FFO was $1.27 per share, 10.4% better than the fourth quarter of 2014. Our full year comparable FFO was $4.83 per share, 10.5% better than 2014. If we were to exclude our real-estate fund the increase over 2014 would have been 16.3%. Our earnings growth was driven by our flagship New York business and as David will cover shortly our New York business will continue to produce strong growth in 2016. Companywide in 2015 we leased 5.381 million square feet and 483 transactions with overall positive mark-to-markets of 14% GAAP and 12% cash. In New York we leased 2.276 million square feet for the year and 610,000 square feet for the fourth quarter at positive GAAP mark-to-markets of 22.8% for the year and an even higher 25.7% for the fourth quarter. These are great numbers. Mitchell and David will give you details of their businesses shortly. Washington is now a tale of slow recovery being dragged down by Skyline. With respect to Penn Plaza we are delighted that Governor Cuomo has shined a bright light on the importance of Penn Station as New York City's busiest transportation hub and the crying need for improvement. Vornado will be a full participant in this process. The Penn Plaza district where we are the dominant owner with 9 million square feet is a great opportunity for us. We are knee deep in planning multiple projects to transform and enhance our vast Penn Plaza holdings. We are the industry leader in capital programs that reposition and upgrade office and retail assets so as to achieve their full potential. As David will tell you next up is our grand plan to upgrade, modernize and transform One Penn Plaza and Two Penn Plaza into an integrated 4.2 million square foot complex sitting directly on top of Penn Station in the center of what has become New York's new west side. The goal here is to achieve market rents as much as 50% higher than today's rents. Almost a year ago in my letter to shareholders and in each of our last three quarterly calls I stated that, the easy money has been made for the cycle, asset prices are high, well past the 2007 peak. It's a better time to sell than to invest and most importantly now is the time in the cycle when the smart guys build cash for opportunities that will undoubtedly present themselves in the future. To be honest I didn't expect to be so right so quickly. With many sectors of the economy decelerating we have experienced a period of high volatility in both the credit markets and the equity markets, this will of course have some effect on the real-estate markets. So, and we have been preparing for all this for whatever is to come. Vornado is buttoned up and ready. Our New York properties are very well leased. We are basically full. Our income stream is diversified coming from over 1,200 tenants with a weighted average lease term of 8.8 years. Our top-10 tenants account for only 13.2% of revenue. This is a testament of the quality of our assets and our leasing machine that Victoria’s Secret chose in a very competitive makeover to locate their 64,000 square foot Fifth Avenue flagship with us. Same for Facebook, Amazon, Foot Locker, Neuberger Berman and on and on, you get the picture. In this environment cash is king, today we have $4.5 billion of immediate liquidity including $2 billion of cash and marketable securities and our fully undrawn 2.5 billion revolving credit facilities. On top of that we have over 13 billion of highest quality unencumbered properties. Last year in my annual letter to shareholders on Page 10 if you would like to reread it, I laid out our debt philosophy Vornado enjoys access for the four corners of the capital markets. We preferred secured debt that is recourse solely to a single property rather than unsecured corporate debt that bears the full faith and credit of the issuer sort of like a personal guarantee. It's interesting to note that today secured debt for a sponsor of our standing is both readily available and surprisingly cheaper than the unsecured full faith and credit type debt. The unsecured and CMBS debt markets are getting a little jumpy. Vornado today has only $850 million of unsecured debt in two issues maturing four and seven years out. Vornado is focused and simplified and ready for battle, having sold, spun and approved over $8.7 billion of assets. True to our word we have sold much more than we have acquired. Acquisitions have been limited to strategic New York retail properties and created a class of value-added office projects. We have pushed away from acquisitions which were off the fair way, non-strategic or most importantly overpriced. Importantly we have also significantly upgraded the mix and quality of our assets for example trading 1740 Broadway of B-office building for the St. Regis retail, 866 UN Plaza for 655 Fifth Avenue Retail of Ferragamo Store, the Green Acres B plus Mall for the retail block at 666 Fifth Avenue and 1750 Pennsylvania avenue for Old Baby on 34th Street. Three years ago while anticipating secular change note the current softness in retail and recognizing that with only a handful of malls we were in no man's land, we decided to exit all non-Manhattan retail. I believe this decision will look better and better and better as each year goes by. A word about our shopping center spend, Urban Edge properties celebrating its first anniversary we couldn’t be more delighting with its performance. We created UE by ceding it with our unique high barrier North Eastern shopping center assets and with our management and staff. We recruited Jeff Olson, a best in class CEO and more sticking with a strong balance sheet reported by an experienced and engaged Board. Urban Edge is producing the exact result we had expected and investors the final report got a rewarding UE with their appropriate stock price which by the way has held rock solid in the recent months of clients. And think about it if the UE assets were still bundled inside Vornado, they probably would be valued at a big discount just like Vornado was. Given the success of UE the concept of laser focused smaller entities may well be a template for the future. Our 220 Central Park South super tall residential condominium tower is also buttoned up. It is now 260 feet vertical and visible from Central Park. It will rise at the rate of 1 floor per week. We have dedicated super low interest rates financing in place sufficient to fund the entire project. We are over 50% on the contract at record setting pricing which covers our cost. We will deliver in 2018 and trust me there will be at least two more up and down cycles before them that is sort of a joke. As assets values have risen over the cycle we have pulled back from making loans especially mezzanine loans. We now have only a couple of small loans left on our books. Now if I may a few words about the New York real estate markets. We see no real hiccups so far in the class A of this market. Vornado's office business continues to perform at very high levels. We do anticipate that decision makers will take note of the financial volatility and pause slowdown and rethink a little. Of course we are constantly looking over our shoulders, that's our job but business continues to be great so far so good. David and Mitchell will discuss the health of their markets with you in a moment. My personal favorite as David would tell you is that a full 25% of Vornado's New York leasing in 2015 was at rents over $100 per foot, pretty amazing. I was going to say and they move over more but my team wouldn’t let me say this so I didn’t say it. Nationwide retail sales were soft and shopping center traffic has been declining quarter-over-quarter. In Manhattan as I've said before momentum and investors have driven retail asset prices too high, landlord asking rents are also too high exceeding retailer's willingness and ability to pay. Trust me we are the biggest player in this market by far and we are in the business of being realistic in terms of pricing and making deals and at all basis we sure tag. Hotels are soft just look at the hotel stocks which are off one third to one half in my mind the New York hotel industry is the victim of gross cyclical over supply even more than the impact of the strong U.S. dollar. New York has added 25,000 rooms in 2010 to a base of 82,000 rooms and with 18,000 more rooms under construction too much supply. And then of course there is Airbnb sort of like what e-shopping is to brick and mortar retailer. Interestingly while people say that the strong dollar is causing a decline in tourism the numbers show that both domestic and international tourism are holding up just fine. Vornado has a very limited exposure to the hotel market recently the Hotel Pennsylvania, which is really a parking lot. The for sale condo business has dramatically slowed at all price points and in all neighborhoods. It's easy to blame the volatility we are now seeing on the financial markets for the buyer's floors, but the slowdown actually started six months ago. There seems to be a condo project on every block most things developed by undercapitalized over leveraged players. Vornado's sole exposure to the condo business is on 220 Central Park South Project, which is in a class by itself. A word about the credit markets which are becoming a tail of the haves and the have not's. For sponsors such as Vornado the credit markets are open at historically low rates. On the other side of the spectrum for risk assets and less established sponsors the credit markets are cloned and choppy. Here is an example I would like to share with you. Last week we closed a $700 million five year floating rate loan on 770 Broadway at LIBOR plus 175, which we swapped to fix at 2.56% I think 2.56% fixed for what is actually a 4.5 years swap on a $700 million loan is a truly spectacular rate, and by the way just for reference that rate is a full 59 basis points better than the rate -- on a similar loan we closed just two months ago. It's too early to tell what affect the recent volatility in the financial markets will have on leasing or on asset valuation. My guess is not all that much. We have been long overdue for a correction and after all a swoon in economic activity and volatility in the debt and equity markets seems a sure recipe for a continued easy money and low interest rates. I'll conclude with a listing of our priorities, what we are focusing on and what are truly important in our business. One buttoning up and focusing on being strong and ready both financially and in every other way. And by the way we are beginning to see a few interesting opportunities. Two, recognizing the full potential of our vast Penn Plaza assets, actually Penn Plaza is a city within a city. And three, closing the gap been our stock price and the true value of our Company, by the way Green Street's NAV for Vornado is a $125 this year. Thank you for listening, I will now turn it over to Steve Theriot to cover our financial results.
Steven Theriot: Thank you, Steve. Yesterday we reported fourth quarter comparable FFO of $1.27 per share, up from $1.15 per share in the prior year's fourth quarter, a very strong 10.4% increase. Our full year comparable FFO was $4.83 per share, up from $4.37 per share last year. Also a very strong 10.5% increase. The increase in our comparable FFO in 2015 versus the prior year was clouded by lower gains in 2015 from asset sales and mark-to-market fair value adjustments of our real-estate fund. Excluding this effect our comparable FFO for the year would have increased 13 -- I'm sorry 16.3%. Nor surprisingly our growth comes from our large and strong New York business. Total FFO for the fourth quarter was $1.37 per share compared to $1.22 per share in the prior year's fourth quarter. Total FFO for the full year was $5.48 per share compared to $4.83 per share for the prior year. Non-comparable FFO items aggregated 19.4 million of income for the fourth quarter compared to 13 million of income for the fourth quarter of last year. 2015 non-comparable items aggregated 123.7 million of income, consisting primarily of a $90 million reversal of an allowance on deferred tax assets of our taxable REIT subsidiaries and 46.4 million of FFO from the operations of 20 Broad and 750 Pennsylvania Avenue which we sold. Please see our press release or the overview on MD&A on Pages 37 and 38 of our annual report on Form 10-K for a detailed summary of non-comparable items. Fourth quarter comparable EBITDA was 400.7 million ahead of last year's fourth quarter by 9.6%. Our full year comparable EBITDA was 1.533 billion ahead of last year by 5.9%. Excluding the effect of our real-estate fund our full year comparable EBITDA increased by 8.9%. Our New York business produced 283.5 million of comparable EBITDA for the quarter ahead of last year's fourth quarter by a strong 29.2 million or 11.5%. Comparable EBITDA for the New York business was 1.079 billion for the year or 12.2% ahead of 2014. The increases in comparable EBITDA for the quarter and the year were driven by redeveloped properties coming back into service primarily 7 West 34th, 330 West 34th Street and the Marriott Marquis retail space at 1535 Broadway and acquisitions primarily the St. Regis retail, 150 West 34th Street and the Center Building in Long Island City. Our New York same-store results are historically industry leading and we expect to have same-store growth well over 5% in 2016, sequentially higher in the second half than in the first half. When thinking about our earnings in 2016, please keep in mind that we recognized 28 million of one-time income in 2015 from the acceleration of FAS 141 below market leases related to the early termination of the leases at the St. Regis retail property and the Crate and Barrel, lease at 1650 Madison. While this income is included in our 2015 comparable results, it is not included in our 2015 same-store results. Our Washington business produced 79.3 million of comparable EBITDA for the quarter, flat to last year's fourth quarter. For the year Washington's comparable EBITDA was 3.5 million behind last year on target with our updated guidance. With respect to 2016 we expect that Washington's comparable EBITDA will be approximately 7 million to 11 million lower than 2015 comprised of our whole Washington business being flat to 4 million higher offset by occupancy of our Skyline properties declining further, decreasing EBITDA by approximately 6.5 million and 1726 M and 1150 17th Street being taken out of service to prepare for the development in the future of a new Class A Trophy office building decreasing EBITDA by approximately 4.5 million. Now turning to capital markets, in November we completed an unsecured delayed draw of term loan facility in the maximum amount of 750 million. The facility is separate and in addition to our 2.5 billion of revolving credit facilities it will be used for the specific purpose of funding the construction of our 220 Central Park South luxury condo tower. This facility matures in October 2018 with two one year extension options to [indiscernible]. The interest rate is a tight LIBOR plus 115 basis points with a fee of 20 basis points per annum on the unused portion. At closing we drew 187.5 million. This facility together would be in place 950 million loan, provides funding for all of the costs of the development of 220 Central Park South. In December we completed 450 million financing of the St. Regis retail located on Fifth Avenue at 53rd Street. The loan matures in December 2020 with two one year extension options. The loan is interest only and LIBOR plus 1.8% for the first three years, LIBOR plus 1.9% for years four and five and LIBOR plus 2% during the extension periods. In December we completed 375 million refinancing of 888 Seventh Avenue an 882,000 square foot Manhattan office building. The five year loan is interest only at LIBOR plus 1.6% which will swap for the term of loan to a fixed rate of 3.15%. We realized net proceeds of approximately 49 million after repaying the existing 5.71% $319 million mortgage which was scheduled to mature in January 2016. Last week we completed 700 million refinancing of 770 Broadway 1,158,000 million square foot Manhattan office building. The five year loan is interest only at LIBOR plus 1.75% which will swap for 4.5 years to a fixed rate of 2.56%. We realized net proceeds of approximately 330 million. The property was previously encumbered by a 5.65%, $353 million mortgage which was scheduled to mature in March 2016. Our remaining 2016 consolidated debt maturities are 708.6 million consisting primarily of the 550 million mart loan, which matures in December 2016 and the 115 million Bowen property loan while which matures in June of 2016. We are well along working on these refinancings. Excluding the financing for our 220 Central Park South Project and including the capital market transactions completed in 2016. Our consolidated debt metrics are debt to enterprise value of 34%, debt to EBITDA ratio is 6.2 times, fixed rate debt accounted for 77% of debt with a weighted average rate of 4% and a weighted average term of 5.1 years and floating rate that accounted for 23% of debt with the weighted average interest rate of 2.0% and the weighted average term of 5.8 years. Our share of 2016 debt maturities are partially owned entities are 736.4 million consisting primarily of 361 million at 280 Park Avenue, 161 million at the Warner Building and 138 million at One Park Avenue. We are also well along on working on these refinancings. Including our share of partially owned entities debt, excluding ToyotaRus our total debt to EBITDA ratio goes to 7.5 times from 6.2 times for our consolidated debt. Okay, as we disclosed a note 2 to our financial statements we recognized onetime tax deductions related to the implementation of a tangible property regulations issued by the internal revenue service. These deductions and gains from sales transactions resulted in 100% of our 2015 common dividend being classified as long-term capital gains. In closing Vornado has a fortress balance sheet, our leverage is modest and our maturities are well staggered, the vast majority of our debt is conservatively sized property level secured mortgages. We have a very high quality portfolio of unencumbered properties. We have as of today 4.5 billion of liquidity comprised of 2 billion of cash restricted cash and marketable securities and 2.5 undrawn under our 2.5 billion revolving credit facility. I will now turn the call over to David Greenbaum to cover our New York business.
David Greenbaum: Steve, thank you and good morning to everyone. Before I jump into a review of our business for 2015, I want to step back and spend a few minutes talking about market conditions. It's really to give you some perspective on where we see the real estate market in New York. In a nutshell I would say that business has been and remains good. Overall leasing activity in Manhattan in 2015 was strong. 28.2 million square feet transacted the third highest in a decade. At a 9.4% availability rate in Manhattan the rate was 80 basis points lower at yearend 2015 than 2014. In 2015, 4.5 million square feet of space was absorbed in Manhattan with midtown accounting for some 75% of the positive absorption 3.3 million square feet. We are now six plus years into this growth cycle with availability rates having come down by over 340 basis points from 12.8% to the current 9.4% and during that time period it was a total absorption of more than 20 million square feet of space in the market. Absorption and employment of course are directly linked. New York has been an amazing magnet for job growth. From the trough in 2009 August, through year-end 2015 private sector employment in New York has gained over 600,000 jobs over four times the number of jobs lost in the recession and is now at an all time record high. In our business of course we focus more closely on New York City's office using employment number which also has continued to expand gaining 31,000 jobs in 2015. Since office using employment bottomed in 2009 New York City has added over 200,000 office using jobs double the number of jobs lost and again is at an all time high. While the City's office of management and budget is projecting a lower rate of job growth in 2016 of about 60,000 private sector jobs that still represents a very healthy growth rate of 1.7%. The City now has a highly diversified local economy with TAMI tenancies; technology, advertising, media and information as well as the FIRE sector, financial, insurance and real-estate both driving its strong job growth. As Steve would say we are no longer a one trick financial services pony in New York. Let me now turn to our own portfolio. In 2015 in our New York office portfolio we completed 2.3 million of square feet of leasing activity in 165 transactions with a very diverse mix of high quality tenants across many business sectors. We achieved our highest ever average starting rents of just under $79 per square foot with very strong positive mark-to-markets of 22.8% GAAP and 19.1% cash. Importantly, 32% of our 2.3 million square feet of leasing some 750,000 square feet represented tenants new to New York or expanding in New York, real expansion, real growth, let me give you some of the names, IPG, the Inter Public Group of companies; Facebook, AOL, United Talent Agency, PJT Partners, FactSet, TPG, Foot Locker, Parsons Brinkerhoff and GIC, the Government of Singapore Investment Corporation. As many of the brokerage firms have noted in 2015 the FIRE sector reemerged as the top driver of leasing with nearly a third of overall activity. That moved back to finance and the boutique asset management and private equity firms has had a notable impact at the high-end of the marketplace. In $100 plus per square foot marketplace, citywide in 2015 138 leases were executed. We completed 28 of those leases, a 20% market share for a total as Steve had mentioned of 544,000 square feet which was 25% of our total leasing activity. Think about it, with less than a 5% market share we did 20% of the triple-digit deals in the market and more than any other landlord spread in six of our Trophy buildings. 650 Madison Avenue, 888 Seventh Avenue, 350 Park Avenue, 280 Park Avenue, 640 Fifth Avenue and 770 Broadway, all at average starting rents of $108 per square foot, this certainly speaks to the quality of our assets. I might also add that while historically the $100 plus per square foot marketplace had been limited to small space users, last year we completed two of the four largest triple digit leases in the city, one with a private equity firm at 888 Seventh Avenue for 93,000 square feet and the other with a tech company at 770 Broadway for 80,000 square feet. Let me now quickly turn to the fourth quarter. We completed over 600,000 square feet of leases in the fourth quarter at average starting rents of $75 per square foot and positive mark-to-markets of 25.7% GAAP and 22.4% cash. Our year-end occupancy was 96.3%, we remain basically full. A couple of highlights for the quarter, in Penn Plaza at our recently redeveloped 330 West 34th Street, we completed an 82,000 square foot lease with Structure Tone which will join this building’s diverse tenant roster of Foot Locker, Deutsche Advertising, Yodle and New York and Company. With this deal the building is now 90% leased up. We actually moved Structure Tone, our tenant at 770 Broadway to 330 West 34 Street to free up to lease an additional floor in 770 Broadway to AOL which is now owned by Verizon and in a growth mode. AOL now occupies a total of 308,000 square feet in 770 Broadway. At our 100 West 33rd street the office portion of the Manhattan mall we took back a floor from Rocket Fuel which was looking to downsize and immediately leased the space to IPG which now occupies a total of 607,000 square feet in the building through its add groups, media brands, FCB and initiatives. We also entered into important renewal leases with Fidelity Investments at 645th Avenue for 41,000 square feet and a law firm at 930 Avenue for 65,000 square feet and finally a renewal expansion with United Talent Agency at 888 Seventh Avenue for 43,000 square feet. Our activity at the start of 2016 remains strong. At 770 just last week, we signed an 80,000 square foot expansion with Facebook, which has now grown to 355,000 square feet at Seventh Ave 70 from its initial occupancy of 98,000 square feet in May, 2013. We have a strong leasing pipeline of 1,350,000 square feet. This includes over 550,000 square feet in active lease documentation and another 800,000 square feet of leases in advance discussions. With a highly diversified multi-end portfolio our lease explorations for the balance of 2016 are a modest 800,000 square feet our normal run rate and as we look out to 2017 and 2018 the explorations around are 1 million square feet a year because no one tenant representing more than 150,000 square feet. Over the last three years we have completed a string of major building redevelopment path repositioning seven buildings a total of 6.4 million square feet. Our portfolio is in great shape. We transform to both 7 West 34th Street brining in Amazon to lease virtually the entire building and 330 West 34th Street into 1.2 million square feet of creative class space. With its full block lobby mid block dual box atrium a new curtain wall 280 Park Avenue with JPMorgan Chase is our direct next to a neighbor is now one of the best buildings on Park Avenue attracting best in class boutique financials firms. At 1290 Avenue of the Americas and at 330 Madison Avenue we executed dramatic building renovations and landed new Burger Berman at 1290 and Guggenheim Partners at 330, as the buildings signature tenant. And we are now in the final stages of completing our program at 90 Park Avenue attracting both traditional financial service firms as well as the creative types. We would be happy to take you on a tour of our portfolio to showcase both our innovative tenant spaces as well as the dramatic public spaces. Cole Cathy, my development and leasing teams are enormously proud of what we have accomplished and enjoyed showing of our assets. With the completion of these renovation programs you may be asking yourselves so what's next? Of course there is Penn Plaza this is the sub market whose time has now come. Last month governor Cuomo unveiled an ambitious infrastructure plan for New York State, including array of downstate transportation projects. A new cross-Hudson rail tunnel an addition of a third track to a portion of the Long Island railroad, a train to LaGuardia airport and more it's an impressive array of projects and most importantly as the governor stated Penn Station and I'm now quoting Penn Station will be the nexus for all this increased capacity doubling the traffic through Penn Station over the next 15 years. That is very, very good news for our 9 million square feet of holdings in Penn Plaza. While our Penn Plaza assets have for the better part of 20 years have been fully leased. Rents remain substantially below what we believe these buildings can achieve given their unmatched access to transportation and their location in the center of Manhattan's new west side. We see a tremendous opportunity to reposition these assets in line with what we have done elsewhere in the city. Consider for a moment just One Penn and Two Penn Plaza two buildings that sit directly on top of and have access to Penn Station without ever stepping outside. These are buildings that represent a significant value creation opportunity. Our team continues to advance plans to turn these two buildings into a massive 4.2 million square foot Penn Plaza complex fully modernized with shared amenity spaces integrated both above and below ground. When you consider our other development opportunities in the district, it's easy to see why Steve describes Penn Plaza as the Big Kahuna. For a glimpse into the future of the area be sure to stop in for a bite at the new Penz, it's a food hall we recently created in Two Penn Plaza at the corner of Seventh Avenue and 33rd Street. Spend a few minutes, enjoying the meal and a cocktail or wait until the weather gets a bit warmer and we open up the roll top garage towards onto Plaza 33. As you know last year we implemented a temporary closure of 33rd Street at Seventh Avenue to create a public amenity called Plaza 33. The plaza earned rave reviews from the press, elected officials and the local community. We continue to work with the city and the local community board and are hopeful that Plaza 33 will return later this year as a permanent year round feature. I hope you will stop by. Another answer to the question of what's next is our growing beach head in the West Chelsea district. At 61 Ninth Avenue, at 15th Street and 512 West 22nd Street right on the high line, we have partnered to develop ground up two new boutique office buildings. Also at 260 Eleventh Avenue we have the opportunity to totally redevelop and expand an asset we acquired in an off market transaction. When you consider where these assets are located and the quality of the architecture you will see that these buildings will be the Trophy assets of the future. Let me now turn to our important Manhattan Street retail portfolio whereas you know in 2015 we signed the three largest leases in the market, all on Fifth Avenue, a 64,000 square foot flagship with Victoria’s Secret at 640 Fifth Avenue and two leases with Swatch for its luxury brands and for Harry Winston at the St. Regis retail. The aggregate starting rents for these leases are $70 million. Think about it, the rent coming out of these three retail leases [indiscernible] million square foot office building. We delivered possession of the 640 space to Victoria’s Secret on February 1 and both Swatch spaces have now been delivered. Revenue recognition on a GAAP basis has now commenced. In total for the year 2015 we completed 20 retail leases with positive mark-to-markets of 99% GAAP, a two multiple and 149% cash, a two and a half multiple. We had good activity on our remaining spaces at 1535 as well as the 3,200 square foot store we carved out at 640 with 25 feet of frontage. I'll touch only briefly on the Mart, in River North in Chicago, since I've spent quite a bit of time on the transformation of this iconic asset on our last call. For the year we leased more than 750,000 square feet in 86 transactions including headquarters relocations of ConAgra Foods and Allstate and expansions by PayPal, Yelp and the prominent technology incubator 1871 all at average positive mark-to-markets of 25.3% GAAP and 20.5% cash. This monumental 3.6 million square foot asset is 98.5% leased. We are well into our $40 plus million redevelopment program to add state-of-the-art amenities to the Mart. A grand stair with stadium seating for our tenants to congregate including a presentation venue and bringing new life to the first two floors of the building as well as trend setting food options and a re-imagined food hall. We could not be happier with the performance of this asset. On to San Francisco, 2015 was a relatively quite leasing year for us in San Francisco where our 1.8 million square foot 555 California Street property is an iconic part of the Skyline. After a very active 2013 and 2014 when we leased over 900,000 square feet at the property in 2015 we leased a total of 98,000 square feet at average starting rents in excess of $83 per square foot and at positive cash mark-to-markets of 34.8%, while the tower at 555 California is fully leased at an occupancy rate of 98.4%. In the fourth quarter Bank of America as expected vacated the old banking hall at 345 Montgomery Street as well as the space it occupied in the adjacent 350 Montgomery Street building, a total of about 2,000 square feet. We are currently prepping the space with exposed brick walls and open planned space for today's creative class of tenants and introduced the space to the marketplace with a broker event in the building just last week. We remain very constructive on the San Francisco market. Excluding the Hotel Pennsylvania our same-store numbers for the New York business for 2015 were positive 2.4% gap and 1.3% cash and for the fourth quarter the same-store numbers were positive 1.4% gap and negative 4.4% cash. As we have said over the course of the year these numbers are not reflective of the real growth in operating results for the New York division. I want to pause you a minute and talk about the negative same-store numbers for the fourth quarter. This is really important and I want to go over these numbers carefully. In the fourth quarter of 2015 just as our New York office business there was a 10% swing in the difference between our GAAP and our cash same-store numbers. GAAP same-store for new office business was a positive 3.7% and cash same-store was a negative 6.1%, this is an unusual occurrence which is attributable to the free rent periods on the extraordinary amount of leasing that we completed in 2014 some 4.2 million square feet. Regarding the 2015 GAAP same-store results as I said in our previous calls the tepid growth numbers reflect the dip in occupancy attributable to the redevelopment of 90 Park Avenue as well as the down time in connection with the redevelopment of the retail space at 640 Fifth Avenue for Victoria's Secret and the retail space we took back from Crate and Barrel at 650 Madison Avenue. 2015’s real growth came from placing our added service properties 7 West 34th Street, 330 West 34th Street, 280 Park Avenue and 1535 Broadway back into service which contributed a total of 47 million of EBITDA growth not reflected in our same-store results. And importantly as Steve Theriot said earlier our New York same-store results historically have been industry leading and we fully expect same-store growth in our New York business to be back to well over 5% in 2016. Let me conclude, it was a strong year in New York for both the market and Vornado and we believe we are well positioned to capture more than our fair share of leasing activity. With a diverse employer base and a large talent pool there is no place where we would rather would be and we are confident that the quality and location of our buildings our team and our relationships in the marketplace will enable us to outperform the marketplace in any environment in the years ahead. And with that I'll turn the call over to Mitchell to cover Washington.
Mitchell Schear: Thank you, David and good morning everyone. In 2015 the Washington region experienced sustained economic expansion and all economic indicators signaled that the market will continue to strengthen. Job growth more than tripled from 20,800 new jobs in 2014 to over 68,000 new jobs in 2015. Importantly 48% of this growth was in office using sectors with 32,900 new jobs. The passage of the two year federal budget has had a broad stabilizing effect on the local economy and on the ground the green shoots are sprouting a bit we saw pick up in leasing activity and tours throughout 2015. Specifically in our Washington portfolio as we expected our 2015 comparable EBITDA was down about 3.5 million from 2014. As Steve Theriot have said earlier in 2016 we expect EBITDA from our core Washington business will be flat to 4 million higher than 2015. However that growth will be offset by two items. First we expect the occupancy of our Skyline properties to decline further which will decrease EBITDA by approximately 6.5 million. Second, we will be vacating and taking 1726 M and 1150 17th Street out of service which will decrease EBITDA by approximately 4.5 million. This spring we would demolish these two obsolete buildings in preparation for the development in the future of a new state of the art Trophy Office Building 1700 M in the heart of the central business district. So summing it all up we expect that Washington's 2016 comparable EBITDA will be approximately 7 million to 11 million lower than 2015. Let me take a minute now to review our 2015 results. In 2015 we leased a lot of space. Over 2.1 million square feet in 2016 deals at initial average cash rent of $40.20 per square foot. About one third of our 2015 leases were new and expanding tenants and the other two-thirds were renewals. We ended the year with office occupancy of 82.1% an increase of 140 basis points over year-end 2014. Skyline sales of 50.1% occupancy by year-end down 340 basis points from 2014 an obvious continuing drag on our overall performance. Without Skyline our office occupancy at year-end was 89.9% an improvement of 250 basis points over 2014. Our Crystal City occupancy at year-end was 89.5% an improvement of 430 basis points over 2014. On the residential side we own 2,400 apartments in Georgetown and Arlington with a year-end occupancy of 96.1%. Focusing specifically on the fourth quarter for a moment, we leased 450,000 square feet generating a GAAP mark-to-market of positive 0.7% and a cash mark-to-market of negative 1.7%. Our results we are pleased with given the competition that exists for every lease. Our fourth quarter TIs and leasing commissions were 11.5% of initial rents or $5.06 per square foot per annum trending lower than the prior quarters in 2015. Now let's turn to specifically the Crystal City and Pentagon City, in 2015 we executed 1.1 million square feet of office leases in Crystal City. Crystal City is starting to gain traction as noted in several local brokerage records. Sale outside of the Crystal City led all other sub markets in the region in net absorption last year, those deals were predominantly done by us. Cushman & Wakefield's recent market presentation referenced Crystal City's comeback and noted that the Crystal City is doing what it takes to win big deals with 1.3 million square feet leased in 2015. Notably in Q4 we executed a 35,000 square foot lease with an insurance company Dominion National at 251 18th Street and at the same building we recently completed a 53,000 square foot lease with Chemonics an international development company. This 3,000 square foot building which was completely vacated by BRAC tenants is now 95% leased. Also in Crystal City, 2221 South Clark Street another office building previously vacated by defense agencies has just reopened as WeWork's first location in Northern Virginia. In addition to our partnership with WeWork Downtown in our Dupont Circle building we now together converted this building into 216 collaborative living community style apartments as well as two floors of WeWork co-working office space. The office portion opened on February 1st, it looks great and is already 60% occupied. The residential units will be opened in the spring. We are excited to add this important layer to the Crystal City fabric and look forward to welcoming fresh new faces to our community. Overall we've now resolved or have pending about 74% of the original 2.4 million square feet of space vacated by BRAC tenants. We have 630,000 square feet less to resolve and 412,000 square feet of that is in Skyline. In Crystal City we have taken care of close to 90% or 1.3 million square feet of the original 1.4 million square feet of the BRAC space. We replaced BRAC tenants with a diverse array of associations, professional services and tech innovators steadily changing the complexion and the demographics in Crystal City. We continue to change the street level experience as well, just last week Sweet Green a local millennial favorite opened its stores on Crystal Drive. Sweet Green, Tailor Gourmet and Earth Treks our new indoor climbing gym are just a few of the new retailers who are bringing a fresh flavor of destination food and activity to Crystal City. We are also changing the physical experience. We recently received approval from Arlington County to begin redeveloping the building that will be vacated by the U.S. Marshalls at the end of this year. Located on Crystal Drive, at the metro, the newly rebranded 1770 Crystal Drive will be fully repositioned with a new skin, new lobby, new systems, new retail and a top four conference center for delivery in early 2018. The building will be surrounded by restaurants and entertainment adding to the street's vitality. In adjacent Pentagon City we just kicked off pre leasing on our new 699 unit apartment project The Bartlett located directly at top the new Whole Foods and overlooking Washington monuments this 23-storey building is already a Skyline maker. We officially opened in June and are eager to offer the best new amenity package in town to our residents. We continue to be excited about the additional value we can deliver in our DC portfolio, value that will come from leasing up our existing vacancy, finishing our new residential offerings and that offerings that are under construction and building out our development pipeline. I want to thank you all and I'd like to turn the call over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Manny Korchman with Citi. You may begin.
Michael Bilerman: Good morning Steve it's Michael Bilerman. I wanted to go back to something you said in your opening remarks which was that Vornado is focused simplified and ready for battle and then you should update it us a little bit in talking about Urban Edge saying the concept of laser focused smaller entities may well be a template for the future and so I'm just curious as you proposed those two statements of you got everything done you've pruned you are ready but yet maybe you sort of brought up this idea again of splitting up into multiple pieces and I'm just curious can you just expand a little bit on where you are within that spectrum and have you are thinking about the various entities?
Steven Roth: Michael, good morning, thanks for the question. You are absolutely correct we are very frustrated by our stock price. We have pursued various strategies to begin to close the gap we think the gap is demonstrable so we are having said that so that's our objective our objective is to move the stock price to what where the fair value of the Company is. And by the way if you just play with numbers if you take Green Streets’ NAV and our current stock price I mean that's a -- and I can't…
Michael Bilerman: Why would I take Green Streets’ NAV wouldn’t I take my NAV?
Steven Roth: Let's take Green Streets’ okay. In any event the discount is very significant so that's the background to all this. The second thing is, is that we exited the retail the non-Manhattan retail business for a variety of reasons we noted several years ago a secular not a cyclical a secular change in retailing patterns we acted upon that, we exited the mall business entirely swapping many of the assets for what we thought were better assets but really and then what we decided we did not want to sell the strip retail business, the Northeast business which by the way had the Bergen Mall in it and two Puerto Rican malls in it so it was a little bit of a hybrid we thought that was a grand business and we thought that the right move was to deconglomerate the business and have a very focused laser focused management on a smaller business. We see that the business with a great balance sheet, enough cash to succeed and a very, very engaged Board and we couldn’t be more pleased as I said the stock price is appropriate obviously it could be a little bit higher but it's appropriate nowhere near the discount of Vornado and we think it has a great future so that is a very, very interesting template, is that speculation about that we might do a similar thing with Washington we’re up to our eyeballs in considering that. So that is not that is something that is absolutely on the table and we are absolutely considering. We think that was interestingly enough. If you take our Washington business and I also did say at the beginning of my remarks that Washington is in a slow recovery being dragged on by Skyline and we do believe that and our numbers show that by the way. If you look at Washington as a separate segment which has been beaconed up immediately and you project out a four-five-six year growth back to normalcy it is a very high growth very interesting business.
Michael Bilerman: And how would you think about New York in terms of a great street retail business as well as a great office business abutting residential investments that you have there is some element of being a New York specialist and you think about what you have to do at Penn Plaza mixing and matching a lot of different things would that be something that would be on the table or less interesting to split New York up into various pieces?
Steven Roth: My, my, my, you are very provocative. The answer is as you could take in every building and you’d have a separate company from 44th Street to 49th Street we could have a separate one from 59th to 60th Street. We don’t want to speculate on what we might do I've already said very clearly that we are in deep consideration of doing something appropriate with Washington. If you do that then what we have left is a grand New York business pound for pound just a marvelous business with marvelous assets both on the retail side and the office building side we believe that the opportunity we have for value creation in the Penn Plaza Penn Station area is truly unique and is enormous. So, that's a unbelievably interesting, exciting business. The strategies of what we might do with it in terms of capital strategies, venture strategies or anything like that, we don't want to -- I don't want to speculate now, although it is extremely -- and it is a just grand business. The other assets that we have where we -- I mean Michael this is a wonderful asset which is in the middle of its value creation career and 555 California, so the two assets that we have that are outlying New York are the best quality in each of those cities. So, other than what I've already said, I don't think we should speculate although we couldn't be more excited about the quality and the opportunities of the business we have.
Operator: And our next question comes from Jamie Feldman with Bank of America/Merrill Lynch. You may begin.
Jamie Feldman: I guess sticking with the same topic, how are you guys thinking currently about the pros and cons of spreading up the balance sheet as well, I mean you talk about Penn Plaza where you have major redevelopment projects, DC also -- just what are your related thoughts in terms of that part of the process?
Steven Roth: I probably was pretty expansive with Michael I don't know what you mean about splitting up the balance sheet further. I mean we have still cash, we said a year ago that these were -- that the right strategy was to push away from overpriced acquisitions to build cash et cetera, we've done that, we're very pleased with the condition of our balance sheet. And I don't really understand your question.
Jamie Feldman: Well I guess you started the call, talking about 4.5 billion of potential liquidity positions you to do larger things if you split the company into I guess two thirds, one third or something along those lines, each of the entities will just have less capital to work with and then your development project’s regenity would obviously be a larger part of the balance sheet?
Steven Roth: Whatever we do in terms of hiving off a business or splitting up or separating or de-conglomerating the -- each business will have appropriate balance sheets to accomplish their missions, we did that very carefully with UE we know how to do that, it's crucial to the success of the businesses, the way we look upon it we are still an owner -- the way I look upon it we are still an owner of UE, we kept our shares, and we need you -- we want UE to thrive just like we want Vornado to thrive and any children, or grand children that might come out of Vornado will be at a similar condition. And by the way we do have the mother ship balance sheet to do it almost anything that we want to. I would tell you that while we do have an enormous amount of liquidity intentionally we consider our silly stock price to be our number one target. I would also tell you just to comment about the balance sheet, I mean Steve Theriot said that our consolidated debt to EBITDA ratio was 7…
Steven Theriot: 5.
Steven Roth: 7.5 I look at it slightly differently. The way I look at it if you normalize our cash, so saying that we would always have $500 million of cash so that's a $1.5 billion of excess cash so to speak. And you take Skyline which is grossly over levered it has almost $700 million of debt with negligible income. If you take those two out, the number is -- the debt to EBITDA number goes down 6.2.
Steven Theriot: 6.1
Steven Roth: I'm sorry 6.1, I'm corrected, which is a wonderful indicator of a really fortress balance sheet.
Jamie Feldman: And then from my follow-up, I think you said you're over 50% sold at 220 Central Park South, last quarter I think you said 53% to 54%, can you just give us an update on where you guys are on actually sale?
Steven Roth: We chose not to, I have said that the market is slowing it's slowing for everybody, it's slowing a little bit less for us, but of course it's flowing for us as well. For competitive reasons I mean what we have said is we have 53 or 54 whatever from last, we're not going backwards from this quarter of course. We are well more than half sold, we've covered our costs, we're fully financed, we're going to -- with two light years away from delivery and I -- it's a cyclical business and for competitive reasons I don't think it's good for our business to give the kind of details minute details, it doesn’t help us, it hurts us competitively in the market. So, we're in great shape, it's a premier project, everybody in the marketplace knows it's the premier project, we're in great shape and we're totally and completely out of financial risk.
Operator: And our next question comes from Alexander Goldfarb with Sandler O’Neill. You may begin.
Alexander Goldfarb: Steve, just first question is going to Skyline, can you just remind us of the historic tax perfection and what Vornado has as far as there's a recourse on the 700 million, I mean it would seem as far as just quick banks with a buck, if Skyline is the drag and that's been clearly an issue over the past number of years just sending the keys back with be a win not only for the market cap of Vornado but also just the or I should say in reverse but for the fundamentals of the D.C. portfolio which in fact would help the market cap so can you just remind us what the ability of it for Vornado to just walk away from that asset?
Steven Roth: Good morning, Alex. I won't comment on your comment about walking away from the asset I'll just give you the facts the facts are that Vornado has no recourse what so ever on the loan number one and number two is there is no longer any tax protection on the asset.
Alexander Goldfarb: Okay. And so can we fill in the blank or should we not fill in the blank?
Steven Roth: We are not filling in the blank and if you can think about anything you want to.
Alexander Goldfarb: I have a very creative mind.
Steven Roth: Alexander please it's not appropriate let’s get off this topic.
Alexander Goldfarb: Okay.
Steven Roth: I can tell you that we consider every options about everything in our business including this and everything is upon the table always.
Alexander Goldfarb: Okay. The second question is for David on the New York portfolio. You answered a bunch numbers on the NOI offer for ’16 but just so we can get it straight the same-store NOI is up over 5%. Can you walk us through what the incremental leasing is from new stuff that is coming in that would be over and above the same-store portfolio?
David Greenbaum: I think most every -- everything is in a same-store.
Steven Roth: Could you just repeat it one more time Alex I'm not sure I understood you?
Alexander Goldfarb: Sure. So you guys did a bunch of leasing as Victoria’s Secret, Swatch and a bunch of other stuff and that was either stuff that was vacant or you guys acquired and got tenants out so I'm not sure if that's in the same-store pool or not so when you guys talk about the same-store pool being up north of 5% I just want to make sure that it's are we jump modeling up that north of 5% or there are other leases or other non same-store properties that we should be thinking about coming in and adding NOI in 2016 in the New York portfolio?
David Greenbaum: Effectively Alex once the redevelopment properties that were taken out of service cycle back into service all other assets in New York are recycled back into a same-store.
Operator: And our next question comes from Steve Sakwa with Evercore ISI. You may begin.
Steve Sakwa : Thanks, good morning. Steve I was wondering if you can just elaborate a little bit on the One and Two Penn Plaza projects and I realized you haven’t cemented specific dollar figures but can you kind of help us frame out the capital cost that would be needed in order to as you said kind of double the rents on those buildings?
Steven Roth: It's pre-mature but it's certainly a fair question. So first off when you just think about it those two buildings are giant one is 1.5-1.6 million square feet the other one is 2.567 million square feet so in total they are really they are sort of like kissing cousins and they comprise of 4.12 million square feet in total so it's massive number one. Number two is they sit right on top of the busiest train station in North America so that's unbelievable. There are no other buildings that share that honor so to speak. And number three is, is that the -- they are right in the center right at the bull's eye of what we call and the marketplace calls the new west side so it's a tremendous opportunity. Now having said that one of the real opportunities is, is that the buildings are sufficiently large so that the owner of the building and they are in one ownership so there is lots of benefits to that we can move tenants back and forth between the two buildings. If a tenant needs overflow space or a financial space and we don’t have it in the building that they are in we can move we can fit that up in adjacent building although that's interesting because the buildings historically are always full. The second thing is we can afford to put a amenity complex into those four plus million square foot buildings that are not economic even for a half a million or a million foot building which are also large buildings and the population of those buildings that will be coursing through this spaces is also enormous and we can put food offerings and even delivery of food into the complexes so there is lots of different ideas that we have many of which are being taken from what the tech industry is doing on their big huge campuses. Now in terms of what they are going to cost they are both going to be comingled with improvements which will effect Penn Station and the neighborhood and what I mean by that is, is that we are confident that we will -- that the 33rd Street will be close and that gives a great opportunity and both of buildings front on 33rd Street to create entrances into the station to create skylights and light into the stations and what have you so it's very hard to -- which I've already said we are going to participate in or at least we're going to participate in this RFP with all of -- enthusiastically and in a huge way. So, it's hard to separate them. Now, Penn -- Two Penn we've already said publicly that our plans are to completely skin the building, to take the skin of the building off and replace it with a new skin which will have aesthetic consequences of course but more importantly than that it will allow the -- what our old fashioned punched windows to grow to be almost not quite but almost floor-to-ceiling windows which have large breadth and make the building look like it was built recently which will enormously increase the market value of the building. The skin will also involve the entrance on Seventh Avenue to Penn Station which is directly under our building which is the main entrance to Penn Station, so there's lots of things going on here which are enormously exciting. The Penn -- the One Penn building will be more like in cost a conventional transformation and upgrade that we would do, more expensive because it's twice the size, the Two Penn will be much more expensive because it involves a total re-skinning. So, it's too early, it's premature to put a number on that but I can tell you that we are unbelievably excited about the opportunity.
Steve Sakwa: I guess the second question follow-up just any comment on Hotel Penn? I know you've obviously said that the hotel market saturated with supply. This is kind of a low RevPAR hotel. Just as you think about transforming that marketplace, how far off in the future is the renovation of Hotel Pennsylvania?
Steven Roth: I don't know the hotel business soft, we're taking our lunch at the Hotel Pennsylvania, it's very cyclical and very volatile and over the years of our ownership it's gone up and down repeatedly, we're in a down cycle now. So, that's step number one. Step number two is, is that we have not been able to land a tenant that would justify raising the building -- an office tenant -- and building an office building and I don't know whether we even think that that's likely or not. So, the answer is, is the Hotel Pennsylvania's time will come, right now we are focusing more on One Penn and Two Penn across the street. And so I think that's my answer. I know you guys -- you have been focused on the Hotel Pennsylvania for a while and we have not yet resolved what the right business plan is for that.
Operator: And our next question comes from John Guinee with Stifel. You may begin.
John Guinee: First, congratulations on an industry leading 55 minutes of prepared comments -- a lot more than some of your peers earlier in earnings season. And also an incredibly impressive summary of all the value creation opportunities, you had something in there about SL Green and putting together $125 NAV on you -- I don't really understand that, but maybe you can get me that offline. But what I'd like to know from David and from Mitchell is…
Steven Roth: Hi John, first of all you have all of us smiling in here, that's the first thing. And the second is the $125 NAV is Green Street.
John Guinee: Okay. I'm not familiar with them, but okay, alright.
Steven Roth: Now you have got us all laughing.
John Guinee: Sorry. So anyhow, so then I'm looking at Page 32 and Page 36 on your sup. And you have a line here and a line there on all this value creation. David, I think where can I find in your public documents more information on seven repositioned assets; three retail locations generating 70 million of EBITDA; two ground-up developments on the Highline? I don't even see them listed on Page 32 or 36. One redeveloped office I'm not sure where that is at all. Mitchell, you've got two demos and a ground-up office building. I don't see that anywhere in the sup. Bartlett, I think there's one line saying that it's a 620,000 zoned square footage. 2211 South Clark, I can't find anything on that, can't find anything on the redevelopment of 770 Crystal Place or 1751. Bell, looks like you have 5.3 million square feet of zoned square footage on Page 36, with a 273 million our basis, is there any information anywhere on any of this stuff at all?
David Greenbaum: I don't know how to answer that.
John Guinee: Well, the answer is no. But could you…
David Greenbaum: If you start at the beginning we'll try to answer you one by one or if you want…
John Guinee: No, no just put it in writing so people can look at it. It wasn't meant to be a question to answer.
David Greenbaum: So, I can only tell you that if what you're saying is, is that the -- our documents need to be enhanced that maybe but we think that our documents so maybe I think we think our documents are extensive and have enormous disclosure in them so maybe you and Steve Theriot and Joe Macnow should have a little conversation.
John Guinee: Will do, thank you.
David Greenbaum: Okay.
John Guinee: All right.
David Greenbaum: But you do point out one thing John which I think is important we have an enormous amount of stuff in the pipeline all of which is has significant value creating opportunities. Thank you.
Operator: And our next question comes from John Bejjani with Green Street Advisor. You may begin.
John Bejjani: Good morning, guys. David from your prepared remarks it seems pretty clear that you are still seeing robust leasing activity today I expect you've heard concerns and commentary from your New York peers regarding job and rent growth later this year and noncore properties maybe re-pricing lower I'm just curious are you expecting those kind of changes yourselves down the road and I guess related to this Mitchell do you have similar concerns with respect to asset valuation and the D.C. metro?
David Greenbaum: First, John and good morning how are you? Now listen as it relates to New York I think Steve has said that we haven’t really seen any real co-hiccups at this point in time and I think that's absolutely accurate so the pipeline that we have is extraordinarily full. We have seen what I'll call is in one or two very, very limited instances on some small deals companies effectively as Steve mentioned hit the pause button and generally I will tell you as we looked at fourth quarter of the actual activity as well as everything that were working on here in the first quarter, I think I used the word that our pipeline remains strong it does I have got my leasing guys today in least negotiations round the clock on some very big deals and what's interesting is a number of those deals that we we’re working on once again and I think this is really important represent expansions by companies in New York it is not just the musical chairs business as I said last year some 750,000 plus square feet of our deals were real growth to the city what's fascinating is not withstanding some of the climate on the financial markets we really have continued to see the guys that have good businesses good business platforms continuing to look to grow in the city.
Mitchell Schear: John we are very constructive we believe that business continues to be good we as I said in my remarks we’re looking over our shoulders because we are seasoned warriors and we know that this kind of volatility makes decision makers and counter parties just pause for a second and say what's going on here which is only natural and only expected okay. So, the first thing is we see no deterioration in the New York Offices that's step one what's going to happen nine months or a year from now that's another question and we see no basis upon which to believe that nine months or a year from now the New York office business will be any different than it is today. So that's step one I think obviously if there is a huge deterioration in the economy all bets are off okay so that's step one. Step two is, is that New York passage from an enormously diverse business community and there are any given time certain sectors which are expanding and certain sectors are contracting we see no signs that people like Amazon or Facebook or their ilk are doing anything other than full steam ahead and expanding aggressively so a lot of what happens to the individual companies is a function of the mix of their assets and to which segment of the office market they cater to so I can only tell you that we stand by our remarks that we think business is good and we believe that it will continue to be good for the foreseeable future.
John Bejjani: That's helpful. Thanks. And I guess just the second piece of my question, with respect to asset valuations, are you guys -- are you cautious on that front looking forward or any reason to expect any movement in cap rates?
Mitchell Schear: The answer is sure. The first thing is, is I think some secondary assets I can't vouch for what the pricing is on secondary assets. For prime assets we see no diminishing in pricing we do see that there are fewer bidders than at the hysterical top of the market maybe whatever that was a year ago or whatever and so we think that the big thing is, is that and I sort of said this in my remarks this sworn I'll call it a sworn for the moment for want of a better word and the volatility in the capital markets I believe and most commentators believe will cause an extension of the low interest rate, easy money environment that we have found ourselves in for years and years now. And it's very hard to understand how with the treasury of 1.8 today that cap rates could go above -- go into the -- go above 4.5 let's say into the fives and sixes. So, the interest rate environment and the wall of liquidity which still exists, is an anchor on keeping pricing firm. The next part of it is, is that it's not random that we and our colleagues operate in New York City which we consider to be the magnet for both domestic and international capital to invest in real-estate and also it's when volatility -- history has shown that when there's volatility in the capital markets after the initial jitters are over this real-estate becomes an extraordinarily important store of value and has over decades and decades. Michael Franco is in the room who's our Chief Investment Officer, do you have anything else to answer that?
Michael Franco: No, like I think the only thing I would say is that buyers that are more driven by financing as Steve alluded to earlier where the cost of borrowing has gone up and more impacted and so those transitional assets, I think we'll see a little bit of near term softening but in terms of Class A assets, the demand for that and the pricing -- I don't think is going to change much.
Mitchell Schear: Also John I put into my remarks the example of what we did in financing 770 Broadway intentionally because I think it's an extraordinary execution. So, let me just discuss it again. What we did there was it's a 1.1 million square foot building which has extraordinary tenants, by the way it's a mature building which is my way of saying it's -- basically it's a Wanamaker's department store, so it has enormous floor plates, high ceilings, great windows, it's a terrific building and a terrific spot. Although it is not anywhere -- it is not by any stretch a new steel and glass building, anyway. So, we financed it, we refinanced the $350 odd million loan in the 5s for a $700 million and we did it on a floating rate basis and it floated at LIBOR 1.75% and then we swapped the floating rate to six. So, we have an extensive capital markets team here and we analyzed every different option in terms of both the duration of loan and floating fixed et cetera. And the -- so we basically have borrowed a -- made it a five year fixed loan, it's actually technically four and a half year fixed which is another whole tale. We swapped it for four and a half years and the rate is 2.56, now it's -- that's an extraordinary rate for a high quality building, it's really hard to see how cap rates rise with that kind of finance available that in fact and this may sound crazy to you cap rates may well decline a little bit. So, there you have it.
John Bejjani: Thanks. That's very interesting. I guess just one last question. There have been rumblings in the press over the last handful of months that you guys are exploring repurposing the office space at 666 Fifth. I was just wondering if you guys could comment on this, whether such a plan is in the works or anything you could say?
Mitchell Schear: The answer is it's premature, 666 and I -- this same exact question came up last call and basically what I said last call still stands for this call. The asset is a grand asset, it's right in the heart of 5th Avenue, it is the -- we own the retail strip which is Uniqlo and Hollister which is three quarters of the block front. We do not own the Zara store, which is their flagship store which is owned by Zara. So, we own the retail, the office building we own half the retail together with a co-venture partner.
Steven Roth: Office.
Mitchell Schear: I’m sorry half of the office building together with a co-venture partner, the building has a very hefty loan on it, so it's basically almost a -- let me leave it that way it has a very hefty loan. So the partners have been exploring options which center around the concept that the land unencumbered by building is worth more than the existing assets that are on the building -- on the land. Said another way the highest and best use for that property is not at an office building. So, there's been lots of exploratory thinking about what is the right thing -- the right business plan with that asset and I think that's -- it's premature, it's an unbelievable asset and location and I think that's what I have to say.
Steven Roth: I apologize to everybody for the duration of this call, but we certainly had a lot of things that we wanted to say.
Operator: And our next question comes from Michael Lewis with SunTrust. Your may begin.
Michael Lewis: Thank you. So I'll keep the call going, I guess. So you delivered on your goal to end the year with nearly $2 billion in cash. Good leverage and liquidity. But if you had to guess, do you think some of that dry powder eventually gets used to fund opportunistic acquisitions? In other words, maybe values are peaking or opportunities will shake loose. And I feel like I'm kind of getting mixed messages on that, not just from you. Or do you think that capital eventually gets driven into opportunities in your existing portfolio, which we've talked a lot about?
Steven Roth: First of all were in a great position intentionally so, so having cash in this times of an environment is -- having cash in any environment is good having cash and this kind of an environment is even better so number one is we are delighted with it with our balance sheet we are delighting with our cash position and our financial flexibility we think it's a very important strategic competitive advantage to have. Having said that the options for our cash and liquidity are as you just said internal or external now, external is acquisitions so and what have to be a hell of an acquisition to be a better buy than for example our stock price so having said that, although unique acquisitions will get our attention even at a silly stock price so we have external opportunities we have nothing in mind and I would be -- it's a stress to even think what would make us weight into this marketplace with heavy cash. Now we turn to internal. Internal there is two things our stock and the best array of internal capital opportunities we have to invest capital and we believe high returns in our existing portfolio and with our existing assets and inventory so those are the options. It's premature to say what we will do clearly we are going to invest internally every single internal project that we have on our place Penn Station, the Chelsea buildings some development in -- limited development in Washington every single one of those will get its fair share of capital and will be done anything else is discretionary and it's premature.
Michael Lewis: Okay, thanks. My second question is about DC, and you touched on this again a little bit. As far as Skyline, assuming you don't put back the keys, the occupancy is already quite low. What does kind of the future hold for those assets to kind of turn those around? And then in Crystal City, I realize the occupancy is up, but maybe you could talk a little bit about the economics there and if you are really making money on those leases? And is that kind of where that zero to $4 million of core DC EBITDA is coming from; or is that elsewhere?
Steven Roth: Mitchell you want to take that?
Mitchell Schear: Sure. So with respect to Skyline, Skyline is in a challenged position today historically Skyline has attracted certain government agencies and have had significant follow-on in terms of government contractors and there has been obviously been some dislocation in that market so I think that Skyline is going to take some time to recover the vacancy is going to drop another 500 basis points or so this year through some schedule explorations particularly of contractors who won't renew so occupancy I'm sorry occupancy will decline and so I think that's basically the situation and it's really a it will take time to really to find the right engine or the right growth engine that will occupy space there that we are having a follow on effect will return to the situation that it was in just obviously very close proximity to the proximity to the Pentagon and will make sense over the long run we just can predict at this point how long it will take and given some of the other vacancies in the marketplace. With respect to Crystal City I think we’re constructive on Crystal City and we’re happy with the progress that we've made in terms of leasing it's obviously a competitive market but down the less we are constructive with the progress that we've made in terms of moving a significant amount of the inventory at this point in time we’re not moving our rents up we certainly think that the rents and concessions have bottomed so we will keep close eye and see how that moves off into the future and with respect to the core business increases I think it's sprinkled around the whole portfolio I can't give you a specific answer on the phone today.
Operator: And our final question comes from Manny Korchman with Citi. You may begin.
Manny Korchman: I was almost ready to say good afternoon, guys. But good morning, so just a couple quick follow ups here, I hope.
Steven Roth: You've to have got us smiling.
Manny Korchman: If we think about your lease rate versus occupied rate and I think that's what's causing some questions on the numbers both in ’15 and going into ’16. What were those numbers at year-end ’14 and then yearend ’15? I think that will help us get to where you might go excluding any sort of new leasing and we can think about that separately into '16?
Steven Roth: That sounds to me a sufficiently technical question that although a valid question, that I would ask that my financial guys get a hold of you off-line because I don't think that we can get those numbers accurately within a ten second answer.
Manny Korchman: The second one, which is still technical -- less so -- and I hope you have this one. Steve, you said that the line of credit was undrawn. At 12/31, it looks like there's 550 million drawn there as well as some draw on the term loan. Can you just walk us through the mechanics of how it was paid down? Because I don't think you got enough out of the refis to get there?
Steven Roth: Let's say well the term loan -- the $550 million that was outstanding on the revolver at year-end was repaid in early January out of proceeds of cash plus transactions that closed in January. It would be a struggle for me to actually match for you the sources and uses but we can do that for you offline if you like. But the term loan which is a separate and distinct facility which was taken which is $750 million which was taken out for the specific purpose of matching against the capital requirements for 220 Central Park South is in the amount of $750 million and we had $187 million drawn at the end of the year. Okay I'm advised that we have no further questions. I appreciate everybody -- how many people are still left on the call?
Cathy Creswell: 100.
Steven Roth: Wow, so I appreciate all of you sticking with us. And we had a lot -- we felt we had a lot to say and so we appreciate your attention, we appreciate your interest in Vornado and we'll sign off and see you at the next call.
Operator: And ladies and gentlemen, this concludes today's conference, thank you for your participation. You may now disconnect.